Operator: [Commercial] Here at THG we continue to drive forward with exciting new partnerships and innovation, ensuring our focus is always on our customers. We want to make an impact with digital transformation, innovation and expertise, creating and growing category, leading brands on a global scale led our business values of innovation, leadership, ambition, decisiveness, and collaboration. With a global network of 16 fulfilment centers supported by state-of-the-art technology, we are continuing to drive increased efficiencies through automation, offering multiple delivery options so customers get their orders faster to a destination of their choice. Our Beauty division has seen exciting growth in categories like fragrance. Our award-winning apps have given customers new ways to shop for our unrivaled product range, and we have successfully launched our Beauty Plus loyalty scheme, which already has almost 1 million members. Our vertically integrated operation enables us to be at the forefront of new consumer trends, seen us launch innovative products such as the Whey Forward and Myprotein's frozen ready meal range. Through strategic partnerships, we are elevating our retail presence, reflecting customer buying habits. Ingenuity continues to build momentum as a digital commerce leader and proven brand builder. We have formed meaningful and complimentary long-term strategic alliances and partnerships. And through our pillars of technology, digital and operations, we offer brands a multi-channel approach to reach online consumers across the globe. We held an inaugural future of commerce event here at Icon Studios, where we brought together industry experts and leading brands to explore the trends, the tools and strategies set to redefine success in the future. At THG, we are led by our people and their talent entrepreneurial spirit, so as adapting ways we never thought possible. Together we are making progress against our strategic priorities for all of our stakeholders.
Matthew Moulding: I think I'll start by saying it's actually the proudest year I've had and I believe THG's had in our 18, 19 years of trading. Given the environment that we've operated in I'm really pleased with where we're ended up and we've got record sales we've delivered growth over 2.2 billion of sales, very few businesses managed to deliver growth last year. Naturally, if you would have asked me at the beginning of the year where I would have thought we would have landed, then it would have been a better position than that. But given all of what's been going on in the world, I'm super pleased with where we are. In terms of the fact is that, kind of we've had to deal with one of the biggest things really has been whey pricing and inflation everyone understands that this has been real bit inflation throughout the world and some of the real highlights for me is the actions that we took during the years. It's not just the fact that we delivered some growth and -- against that backdrop. It's how we reacted during that time and how the team has performed and the decision to support our customers in nutrition reflected not only in the growth that we delivered last year, but also in the start that we've had to 2023 that seems to really paid off and we'll see that benefit really come through as now whey pricing is way below anything that has been in recent years. I think some of the other initiatives that we took on board as well, we're very early on the cost savings initiatives we started very much in the beginning of the year. Also the things that we did around the balance sheet as well, we have been really cash generative in the second half, so we delivered €50 million with the free cash flow we strengthened the balance sheet by securing a new banking facility as well and all of those actions combined and we had €640 million worth of cash and available facilities at the end of the year. I mean [indiscernible] has seen incredible growth that we entered that industry at the very end of 2010, through a small acquisition paid €20 million for a business turning about €20 million of revenue and then if you look at where we are today, we're well over €1.2 billion worth of sales, we've topped that up with various investments during that time. This time last year the Nutrition Division was probably the worst performing part of THG given the pressures it was under from the dramatic increase in pricing across all commodities, and so it was quite a challenging year for Nutrition. But then as you come into this year, you can see that commodity pricing fell consistently throughout the second half last year and now what we're seeing is, is commodity pricing probably somewhere back at the 2019 levels. And so as a result of that, we've got an incredible opportunity that sits in front of us and we should see some significant rewards off the back of the fact that we made those customer investments and throughout last year about protecting them and shielding from a good proportion of that inflation. So I feel really positive about that division. Since we've appointed Vivek as CEO one of the clear remits he had was we want to be able to land some major contracts at the what we would call the whale level. And so as a result of that, we've, you've seen the transition that we've made away from high volume, smaller accounts really into that, major U.S. tech partnership type level. Sure. So through 2021 and 2022, an awful lot of effort went into putting our key divisions as standalone divisions in both a legal sense and trading sense, et cetera. It's been a key part of underpinning our cost saving initiatives, the €100 million that we delivered last year and the €30 million for this year. And so it's really allowed us to review that cost base of what's really driving the growth and what do we need, what don't we need? And what that then gives us as a result is real optionality. By doing this reorganization and completing it, it allows us now to be able to deliver the growth plans and partnerships that we would choose to in each and every vertical that we want to do. I'm super pleased with the changes we've made. I think the board we've got has got an excellent skillset. We brought Lord Charles on as well, probably about this time last year who's been a great addition. But then on top of that we've made a couple of changes as well and not least we've even strengthened the executive team further by moving one of our non-execs in Damian Sanders who'll be speaking in no doubt shortly and taking people through the financial review. He'd been on our board as a non-exec for two years, and then he's taken on the Chief Financial Officer role and John Gallemore has then moved on to the Chief Operations Officer role. So we've got a real strengthened exec team, strengthened board and non-exec team and I think the group is far better for it as well.
OnDemand: For the rest of the year I'd expect that momentum to then steadily build through, not necessarily just suddenly going ramping up, but I'd expect that the growth and the momentum of the business and our competitive advantage will just keep getting stronger as we progress through the year. In terms of then margins and how we get back to our 2021 or 2020 margin stack, that's very much in play. You will see all the divisions are improving their margins. The operating cost base of the group is probably the leanest and fittest it's been in many years with gross profit margins on the rise and the cost base in a strong position and growth momentum through the year improving, then we're expecting a positive year.
Damian Sanders: Good morning and thank you for joining us for our 2022 full year results, which is my first as CFO. We'll be presenting a selection of key business highlights and a summary of performance for 2022 and also for the first quarter of 2023 with other members of the executive team joining us for Q&A later on. As we turn to our revenue performance, the year saw many well-documented macro-economic factors impacting the markets in which we operate. We are therefore pleased with the broad based growth we have delivered across our core consumer and technology divisions. Particularly so when reflecting on the challenging comparative trading period where online sales were positively influenced by COVID lockdowns most noticeably in Q1 2022. We've also been encouraged by demand in a higher pricing environment with strong repeat purchase rates from our loyal customer base, continuer around 80%. Within the UK Beauty saw some specific challenges as the year progressed. With the reopening of physical retail, the consumer environment deteriorating on the back of the emerging cost of living crisis, and in the fourth quarter material disruption in the UK courier network impacting seasonal gifting. In an inflationary environment, certain international territories within Europe became less rewarding to serve from a profitability perspective. As a result, in the final quarter, we began to pull back investment in lower margin markets, and this has continued into the first quarter of 2023. Within Nutrition, the input cost environment was one of the most challenging we have ever faced, and therefore delivering revenue growth alongside stable customer KPIs is a very pleasing result, in particular in our primary UK market where growth was stronger than for the division overall. As we turned to ingenuity following the appointment of Vivek in June, we took the decision to reposition the division to focus on higher value and higher margin enterprise clients. As a result of this pivot, we are seeing softer sales growth as new client wins are offset by the strategic exit of smaller accounts. Later in the presentation, I will go into further detail on the strategic review and areas of the business being discontinued. The cost environment in 2022 was highly unusual with high inflation across most major cost lines applying pressure on margins. Whey cost in particular was significantly elevated, which reduced gross margins in nutrition as we sought to protect customers and invest in retention and growth for the longer term. Considered price increases have been successfully implemented to partially mitigate the impact of this temporary increase in input cost balanced with consumer price protection. In addition, in line with our strategy, we remain focused on maintaining and ultimately growing our sharing key markets. We actively review the pricing of our own brand products on a localized basis, adapting these to reflect the competitive dynamics and local conditions of each market. Distribution costs continue to be well controlled despite inflationary pressure as the global infrastructure and automation we have built helps us deliver more efficiently. Within admin costs, the main increases have been seen within marketing due to significant paid media and cost per click inflation in addition to payroll costs, particularly during the first half of the year. The full year benefits of the year-on-year headcount reduction following completion of the divisional reorganization will be realized in the current financial year and beyond. Overall, this resulted in a significant decline in EBITDA profitability year-on-year, but significant substantive actions have been taken across the business to both right size the cost base, and to simplify the business model. I'll speak more on this shortly. Adjusting items continue to reduce in line with guidance. Final mile Asia delivery costs remained elevated in the first half of the year as lockdowns experienced in Asia continued to affect air traffic and key shipping lanes. New warehouse commissioning costs have reduced and our global warehouse expansion program is now largely complete with substantial capacity for growth. Also of note are the one-off restructuring costs connected to the divisional reorganization. Earlier I mentioned the non-cash impairment charges relating to beauty and ingenuity. Additional cash generating units were identified through the divisional reorganization, which has led to the impairment reviews being completed at a more granular level than in prior periods. When combined with the challenging global markets, rising interest rates and other macroeconomic pressures, the group incurred a one-off charge this year in impairing historical goodwill balances in Beauty and Ingenuity. Following the divisional reorganization THG Ingenuity now recognizes inter segment revenue for the provision of technology, operations and digital services to the other THG divisions. We've also taken the opportunity to reposition certain revenue streams in their more relevant division. Presented on screen are the divisional adjusted EBITDA margins for the year and comparison period. We're broadening our reporting to give a more detailed view of the cost base, including the corporate costs, which we anticipate remaining at around 1% of revenue. Later in the presentation, I'll take you through the key drivers for divisional margins, rebasing to the historical positions. Typically, we experience a working capital outflow in the first half of the year that reverses with peak trading in the second half. This profile was however elevated with a significant cash investment in H1 2022, principally from newer house launchers, which require a one-off investment in stock. CapEx is as anticipated with the group well advanced on its targets of annual expenditure with guidance for the year ahead unchanged approximately €135 million. Adjusting items and financing costs were also in line with expectations. We closed the year with cash on hand of over €470 million and our RCF of €170 million remains undrawn. We have a strong balance sheet and added to our available facilities through the €156 million loan drawn in the fourth quarter. Our term debt is long dated with no covenants whilst the RCF is undrawn. As we turn to 2023, the easing of inflationary pressures, most notably in weight input prices provides clear visibility and greater confidence of the margin recovery opportunity that we see ahead. Our average procurement prices in the first quarter of 2023 were meaningfully down on the prior year. And as you can see from the graph, the sweet whey index prices are currently tracking at more normalized levels. We've talked at length about how automation has delivered material efficiencies within our UK operations, and we expect the same now in the U.S., where our automation project at the New Jersey facility recently went live. Our distribution costs as a proportion of sales have reduced continually since 2020, and we anticipate this being a sustainable operating level medium term despite ongoing wage inflation. Whey prices and automation are two of the main areas that support our path to enhanced profitability alongside the strategic review, and we will come on shortly to talk to additional drivers within our consumer divisions. Following the divisional reorganization, the group commends the detailed strategic review of operations outside of Beauty, Nutrition and Ingenuity. This has enabled us to look at the business through a more granular lens to assure ourselves that we are focusing our efforts on areas that will deliver optimal returns for our shareholders and accelerate our pathway to positive free cash generation.
OnDemand: Our reported EBITDA of €64 million translates to a €100 million on a pro forma basis, and I'll now take you through the bridging items. In 2022, we expensed €10 million of SaaS cost that was capitalized in previous years given the change in the accounting standard. There's no cash impact on the group here, nor any profit before tax impact.
OnDemand: Finally, the group incurred €9 million of incremental markdown charges that will not repeat as part of reducing stockholding by over 90 million and 2 million of costs in relation to the pivot in Ingenuity to a larger client portfolio. I'll now walk through our segmental reporting and medium term guidance for the divisions. Beauty EBITDA margin in 2022 was depressed for a number of reasons outlined earlier, and I'd expect this to be in excess of 6% over the medium term in line with historical delivery. Specifically, we have scoped to enhance international margins through market prioritization and improved buying terms in part through additional synergies from core Beauty and Dermstore. We do however expect sales growth in 2023 to be tempered in part by this focus on margin accretion. We're also focused on improving our free to paid marketing mix, reducing our cost of sale, and we anticipate further operational savings as our automated fulfillment scales in the U.S. Whilst we will continue to invest in our customer proposition with structural tailwinds supporting our market opportunity, overall we have a high confidence in rebuilding to historical EBITDA margins. The Nutrition EBITDA margin in 2022 was 7.7% in a year where input whey protein commodity prices were at an unprecedented high. As a reminder, whey makes up approximately 50% of the cost of goods in the nutrition division. We've insulated the customer from the full impact of this commodity inflation and will yield the benefit as the input prices have already started to normalize. This will flow into cost prices throughout 2023. Lower freight prices and more localized infrastructure will drive further margin benefits and return to baseline EBITDA margins in excess of 12%. Following the divisional reorganization, THG Ingenuity reported revenue now includes inter segment revenue from internal services provided to THG Beauty and THG Nutrition. These internal services comprise access to the technology platform, digital and creative, operations and fulfillment, and customer services amongst other elements. These revenues eliminated upon consolidation with segment adjusted EBITDA margins presented on a growth basis. Historically, operational services were provided at cost to external clients when bundled with high margin technology and digital services. As the model has matured, all services are now charged with a margin longer term, the extent to which technology services grow ahead of operational and digital services will therefore influence the division's overall margins. Through maturing our margin stack, we are enhancing our overall position. The current margin can therefore be considered a base that will scale over time as the revenue mix evolves towards technology and as margins are now being charged on all operational services going forward. We anticipate Ingenuity, EBITDA margin to scale to around 7.5% over a five-year timeframe through growth in both internal and external revenue and enterprise clients expansion. Over this period, it would be reasonable to expect a breakeven cash flow position after CapEx at around €1.25 billion revenue. I'll now turn to our first quarter performance. Core divisional revenue declined by 5.6% during the quarter. Overall, this was in line with management's expectations. Considering the particularly challenging comparable period, the continuation of courier strikes disrupting the UK market into January, combined with our strategy to deprioritize sales in certain territories with lower profitability. There's been significant progression at Ingenuity as we continue to reposition to focus on larger higher revenue and higher margin clients with high quality recurring revenues. Our statement this morning lists a number of new client wins and strategic partnerships signed during the quarter. Underlying momentum improved as the quarter progressed, which combined with input cost deflation and the annualized impact of the significant cost actions taken provide a strong base for improved profitability year-on-year, which leads me onto our guidance for the full year. We are in good shape to deliver revenue growth across our continuing divisions for the balance of the year. While Q1 sales growth was slower overall in certain areas, much of this was as result of the proactive decisions we took to focus on more profitable sales. As noted, underlying momentum improved through the quarter and we anticipate continuing to build as both COVID comps and the impact of UK courier strikes have fallen away. The group anticipates a stronger second half with performance supported by continuing solid performance within nutrition, alongside increasing growth rates in both Beauty and Ingenuity. Whilst inflation is easing in core areas such as commodities, the majority of margin benefits will be realized in the second half as we fully realize the benefits of the significant cost actions taken. Capital expenditure guidance for the full year remains unchanged as we near the conclusion of an accelerated period of investment. Our fulfillment's infrastructure is exceptionally well invested, allowing us to continue to drive further efficiencies. Beyond this year we expect long-term channel shift across our consumer markets to continue, supported by a strong Ingenuity pipeline and further endorsement of the proposition. We remain confident of a return to an excess of 9% adjusted EBITDA margins in the medium term and strong progression into 2024 through operating leverage improvements across the fixed infrastructure, including automation, gross margin recovery as the consumer price protection strategy, normalizes and conclusion to the group's strategic review and focus on profitable continuing operations. In closing, I'd like to take this opportunity to reinforce our focus on profitability and positive free cash flow. With a strong balance sheet and category leading positions within substantial end markets that continue to benefit from long-term structural growth, we have confidence in our ability to deliver long-term value for shareholders. Our divisional CEOs will now take you through a selection of strategic highlights across our business.
Rachel Horsefield: In the face of a challenging consumer retail environment, our Beauty business delivered a resilient revenue performance in 2022 with a stable number of active customers year-on-year, accompanied by increased order frequency and average order values. We are constantly looking for ways to evolve our proposition to enhance customer experience and retention. Last year, we launched our Beauty plus loyalty scheme, which has been a huge success so far with nearly 1 million customers subscribing. In addition to driving improved customer engagement and higher spend, the program continually enhances our understanding of our customers, their preferences, and their purchasing habits. As Damian commented earlier, returning margins to their historical profile is a key priority. We have intentionally turned our focus to our key strategic markets where we have a localized offering, a leading or rapidly growing position, and driving a higher free to paid marketing mix. The online beauty market has a number of highly attractive characteristics and is also a large global market, which has consistently grown over time. The market has also historically performed well through times of economic uncertainty with consumers continuing to purchase the beauty products they need to maintain their daily beauty and wellness regimes. The breadth of our product range is important in this respect as consumers are increasingly educated through social media on new trends, ingredients and routines relevant for their individual needs. Through our retail destinations, we connect with consumers throughout their beauty life cycles, playing a key role in replenishment, gifting and discovery. We are well positioned within the category to benefit from structural trends due to the nature of our ecosystem. One of these trends is premiumization. This is reflected in the higher growth rates seen in the prestige beauty market in recent years. Our brand offering is focused very much towards prestige, making us ideally placed as consumers are increasingly aware of more targeted products and ingredients. The expansion of the online channel is another key trend with online growth significantly outpacing traditional channels. In addition, emerging beauty brands are winning share from larger brands around the world as consumers increasingly relate to brands that express themselves and their values. Finally, consumers are increasingly using our platform and social media channels for discovery and advice. Through our apps, destination sites and influencers, we engage directly with the consumer, providing them with regular recommendations and education. As I touched on earlier, our brand offering appeals to a very broad customer demographic, providing resilience in the face of economic pressures. Each demographic's purchasing habits and media consumptions differ significantly, and it is vital that we understand and respond to these accordingly with a targeted offering. Our extensive set of in-house marketing capabilities are a key asset here, enabling us to address consumers through the marketing and communication channels of their choice. Our broad assortment of categories also allows customers to move with us as their needs and preferences change over time. This ability to move with customers across their life stages provides us with confidence in our ability to retain customers over the longer-term while continuing to acquire new ones. Finally, our ambitions for 2023 are to develop share in our core markets while delivering sustained margin accretion through a strategic focus on higher margin categories and brands. We have the experience, insights, relationships, and authority to continue to be the beauty destination of choice for our consumers and brands alike.
Matthew Moulding: Our Nutrition division comprises a portfolio of global digital first, health and wellness brands addressing a wide range of performance, lifestyle, and wellness needs. Over the last four years, Nutrition has grown well ahead of the market. Our customer base has expanded, average order values have increased, and their loyalty has remained high, evidenced by the high repeat rates and a growing market share. Whilst growth in 2022 was at the lower rate than in the prior two years, we were pleased with the performance overall when considering the comparable period was impacted by lockdown and the material inflation we saw across input prices, which Damian touched upon earlier. Measured price increases were implemented during the year, helping to mitigate the material increases in whey input prices, freight costs, and foreign exchange rates. Importantly, our core categories continue to perform strongly with around 10% growth year-on-year, which provides us with confidence for the year ahead as deflation and input costs support margin progression. Having built Myprotein into a category leading online brand of the last decade, we are now leveraging the unrivaled brand equity we have developed for expansion into targeted traditional retail channels. Whilst we will attain our D2C focus, our lifestyle and wellness brands are pursuing selective expansion into stores principally in the UK, Japan, and the U.S. In the UK, Myprotein holds prominent listings in Asda, Tescos, Iceland, and the Co-op. Our protein bars, snacks and drinks are now also stocked in PureGym, the largest gym chain in the UK with expansion across further gym groups a strategic priority. In Japan Myprotein products are now sold across a number of retail chains and we are now recognized as a number one foreign sports nutrition and protein brand. Finally, in the U.S. Myprotein has recently launched with a vitamin shop, one of the leading specialty nutrition retailers as we continue to scale the reach of the brand in the expansive U.S. market. Strategic partnerships are important to our growth as a group and we were excited to enter into a five-year partnership with Iceland Foods to launch a wide range of frozen nutritional products. The partnership saw Myprotein products launch in over 1000 Iceland stores and online from January of this year. The new range was jointly developed by Myprotein and Iceland and provides healthier and more nutritionally complete versions of popular meals and snacks, extending our category depth. Partnerships such as this underline the reach of the brand and highlights the significant growth opportunities in licensed brand extensions. They offer opportunities to selectively extend into new categories, increase brand touch points, and engage consumer in new ways. As a vertically integrated business, we research, develop, and manufacture products ourselves, and we are renowned for being the first to the market with new products and formats. In 2021, we acquired healthy snack bar manufacturer Brighter Foods, which has now provided a step change in our bar and snack new product development capabilities. Vertical integration enhances our speed to the market with a recently launched Impact bar, now one of Myprotein's top selling bars. 2022 also saw the launch of the Whey Forward, an industry first animal free whey protein powder, which demonstrates our ability to innovate ahead of the market and launch new product formats that appeal to a wider range of consumers. Our ambition for 2023 are to broaden our wellness focus for wider appeal, build share in emerging markets with fast growing digital channels and continue to expand our category through licensing and innovation.
John Gallemore: The environment for digital commerce has been challenging over the last 12 months with businesses forced to move faster than ever to adapt to supply chain inflation and upgrade redundant technology, all against a backdrop of increasing consumer expectations and pressure to do more with less people. We believe our relevance in this environment is greater than it has ever been. In this kind of market engagement with our client base has been critical. We engage in multiple levels as a technology provider, as a brand builder, and as an operations enabler. We work together for mutual success, sharing our experience of building brands and continually elevating the customer experience. Our strategic pivot to enterprise clients aligns to our position as both a peer-to-peer e-commerce retailer in our own right and as a service provider to global cross-border commerce operations. The same technology that powers our own brands also drives the growth of our clients' brands. As we took our own e-commerce brands to market, we encountered challenges as we tried to scale at pace through restrictive and disproportionately expensive third party e-commerce solution providers. This inspired us to create and develop Ingenuity, positioning ourselves as the complete commerce solution. As a single service provider, we are able to minimize execution risk and also maximize speed to value for our clients, enabled by our three core service areas. As we touched on at our interim results, when we began to commercialize Ingenuity, we were using our experience to develop quickly in our core vertical. Whilst our platform is a proven enabler in the beauty, health, and wellness categories, we have now established our capabilities and credentials in retail and FMCG, particularly food and beverage among other fast growing verticals. As we continue to scale partnerships and strategic alliances alongside continuous in-house development is imperative to cementing our position as an authority in the digital commerce market. During the first quarter of 2023, we've continued to accelerate our focus to enterprise partnerships and developing our suite of propositions. We are maturing and increasingly marketing standalone solutions to maximize addressable market, meeting individual brand requirements where complete commerce solution is not immediately required and opening up our solutions to a new customer base of partners, agencies, and consultancies. To accelerate our full potential we have formed strategic alliances in our key geographies of focus with leading multinational consulting firms, with fulfillment technology partners and major digital commerce specialists. In a market which is demanding speed and agility we build the best and partner with the best for our own brands leveraging this for mutual success with our clients. In 2023, we'll continue to execute this strategy supporting our clients' digital ambitions, in addition to accelerating our own platform, reach across new audiences. Yes, look, so the majority of our sales are overseas, and so our operational focus has been centered on designing a scaled and localized delivery and manufacturing network that allows us to get our products closer to our customers around the globe. This gives us faster delivery. It's a vast, reduced fine amount of cost using local couriers, whilst also managing our carbon footprint without losing the efficiency benefit of scaled localized fulfillment. I think the strength of the network is the breadth and the capacity. We now have 16 fulfillment centers in the UK, the U.S., Europe, the Middle East, Southeast Asia, and India, supported by nine manufacturing plants across the same continents. This means our customers are getting localized delivery with a clear impact benefit on speed and our cost to serve. The returns have been fantastic. We've delivered substantial service improvements to our customers while significantly reducing distribution costs relative to sales since 2020. In addition to new facilities such as the superb Manchester ICON site, we've expanded key hubs with the focus on elevating the customer experience while driving continued efficiencies. Okay, just to quantify some of those service improvements, our average order to delivery time has reduced by 30% over the last two years for our customers. While the time taken to process an order within our fulfillment centers has reduced by 38% in the same period. At the same time, because of the localized network, we've had a 15% reduction in miles traveled to deliver more orders. So while delivering these key service metrics, our total variable fulfillment costs have reduced by 120 basis points in the last year, and that's at a time when all costs within warehouses have been heightened through cost inflation. For example, in the Manchester ICON site, the automated site, our average cost per unit to pick, pack and dispatch have reduced by 40% on the site we ran previously. We continue to invest in our best-in-class in-house production across our Nutrition and Beauty divisions. In Nutrition, we're investing in range capability with an existing core size located in the UK, Europe, and the U.S. This has been supported by more recent acquisitions. This means now that we've got 86% of the food products we sell are manufactured in-house when we've got much more margin retention, but more importantly, faster and better innovation. In October 21, we shipped our first order from our automated UK ICON site, which fulfills orders for THG Beauty brands as well as Ingenuity clients. The automation in our New Jersey facility went live at the start of this month, and we can now expect further efficiencies from our U.S. infrastructure, similar to the ones delivered in the UK. By the end of this year, we expect over 30% of our orders to be fulfilled by automated sites. Ingenuity clients are also able to benefit from an automated solution, therefore reducing their own fulfillment costs as well as improving service. So earlier this year, we announced our global partnership with AutoStore. Having integrated the AutoStore robotics into our own facilities we've seen firsthand the benefits the system has delivered for our group. Being a buyer, customer, and user of this plus other automation systems, it gives us a unique perspective to underpin our partnership with AutoStore. We see it from the customer's perspective. This means we fully understand the procurement process, the complexities of commissioning the product, and most importantly, the ongoing use and optimization of the solution from the customer's perspective. The addressable market for automation is strangled by a higher upfront cost, complex integrations with supporting softwares and a lack of ongoing technical capability within customers to optimize these complex solutions. The model we've developed with AutoStore removes a bulk of the upfront costs of setting it against future operating savings. The dreaded integration complexities removed the solution is out of the box with unnecessary upstream and downstream functions, integrated including auto manager, warehouse management systems, control systems, and career management. Our solutions optimization team will then work with the client for the duration of the solution to deliver real ongoing savings, which ultimately means that the Ingenuity partnership with AutoStore democratizes automation. The architecture and build of the infrastructure and platform has been 19 years in the making as we've looked to take our own brands, direct consumers, all over the world. So this is now all about applying those learnings to our Ingenuity clients who are looking to build out their own digital transformation projects. As we have demonstrated today, the group continues to deliver significant infrastructure development, which in turn has supported market share growth through improved low class service, as well as substantial operational savings. Capacity is in place from in term growth ambitions requiring much lower capital investment in the near-term.
Matthew Moulding: Thanks, John. Investments across our operations during a period of accelerator growth has positioned us incredibly well to now double down on our focus on profit enhancement and path to free cash flow. I am exceptionally proud of the team for delivering a strong performance in a challenging market with record revenue underpinned by stable customer behavior metrics, driving long-term market share gains. We have a strong track record of thriving in difficult environments and have the data, technology and global infrastructure to identify and capitalize our market opportunities as they arise. Our strategic review objective was to streamline the business to prioritize profitable products and markets together with the divisional reorganization. This focus paves the way for further efficiency improvements as we move through the current year. We have today shared broader disclosure than ever before on our segments and our path to improving profitability into the second half of 2023 and 2024. We remain confident in delivering positive free cash flow in 2024, and our balance sheet remains well capitalized. We maintain our belief that our long-term growth opportunity is driven by structural growth in digital activity at a global level together with continued product innovation and expansion across new products and verticals. Thank you for joining us and for your ongoing support. We look forward to taking your questions.
Damian:
Operator: Our first question today comes from Nicolas Katsapas from BNP Paribas Exane. Please go ahead.
Nicolas Katsapas: Hi, thank you for taking my question. I'll start with a question on EBITDA margins for the division. You said that you expect an aspirational 7.5% margin for the Ingenuity division. Could you explain what that means for the commerce part of that? Because we've always understood that it would be accretive to margins overall. Has that changed at all with the way you split the divisions? And then the, the next question on the divisional split is, that you've, thank you for showing us the beauty and nutrition normalized margins, let's say. Would it be safe to assume that most of the difference between those two lies in the gross margin? Thank you.
Damian Sanders: I'll hand over to Matt Rothwell, who's keen to answer those.
Matthew Rothwell: So I'll take the second one then hand to Steve on the first. On the margins, yes, the bulk of the difference sits in the gross margin. And again, our guidance there linked to what we've said historically and linked into the presentation.
Steven Whitehead: Thanks, Matt. I'm just picking up, on the point regarding Ingenuity. So the technology margins are indeed remain as accretive as we have identified in the past, within the commerce division. It's worth just perhaps if you get a chance to look at slide 35 of the presentation materials where you can see where over the last 12 to 24 months, we've really productized the component parts of the platform so that rather than selling an end-to-end solution, we now have the option to sell the individual services. So across technology you will have those high, very incremental margins that we talked about previously within commerce, across operations and digital services, which can also be and are sold on a singular basis. They are lower margin than the technology margins. So depending on the sales mix across the services delivered into the end clients, across technology, operations and digital, you'll get a blended margin that is different. And now obviously on a standalone basis, you've got a much more bigger impact across those operations and digital lower margin areas rather than the very incremental technology margins. Hence, you've got a 2.5% EBITDA margin reported for the standalone Ingenuity division, which over the five year period, we've obviously guided to a target margin of 7.5% EBITDA, which coupled with the revenue growth, we would also aspire to over that period takes revenues from £750 million to £1.25 billion. And I think that's an important target. Just to bear in mind at that level on a standalone basis, the Ingenuity division with the CapEx required to fund it would be, free cash flow neutral.
Nicolas Katsapas: Thank you. That's very clear.
Operator: Thank you. And we're now move on to a question from a Gary Martin of Davy. Please go ahead.
Gary Martin: Hi All. Good morning. Just a quick couple questions from me. Just the first one just on your medium term EBITDA forecast, I think you signify it's about 9%. I believe the previous commentary was actually 9% plus from 9% to 10% is the best way to think about that just labor cost of being the leading component. And then just a second one just on nutrition. I suppose it just, it would be helpful just to get a bit of color just on regional performance. Thanks.
Damian Sanders: Sure. Look, on the first point on the EBITDA, I think it's more just in the smaller detail. Nothing's changed. So 9% plus is the way you couldn't look at that. On the second point there, in terms of nutrition and territory mix we've seen, solid performance across most territories. UK remains a robust market for us, obviously then what we're doing with that in terms of the partnerships you've heard about, that's further developing the brand that's been primarily focused in the UK at the moment, but across Asia we've got real strength in the brand and actually, we've been rolling out partnerships there, so if you went into various stores across Asia, you'll probably see some form of Myprotein partnership in quite a few of them. And U.S. is a territory for us that we're gaining great momentum. It's probably the single best growth market at the moment. Obviously been coming from a lower base, but we're starting to scale in that territory. A lot of that has been helped by the investments we've made across the U.S., and we obviously manufacture locally there and develop products to the unique tastes that are in each continent. And so that gives you a broad mix. Europe still remains good for us as well. And we'd expect now that whey pricing has fallen quite dramatically to below levels. We've seen for a good few years then, we'd expect all territories to remain pretty strong. And then the final point I'd say on nutrition territories is India and the Middle East, their two key territories that we're focused on at the moment. And we've seen, real progress that we can do in partnerships across there as well, so all markets really are very attractive for that sector at the moment. And then, how we develop within those markets, as you've heard in the presentation is something that we're very focused on.
Gary Martin: Good color. Thanks so much. I’ll pass it on.
Operator: Thank you. And up next we have Nikita Fedyuk of Sound Point. Please go ahead.
Nikita Fedyuk: Thank you. I have a couple of questions. The first one, can you please just specify your EBITDA guidance for 2023?
Damian Sanders: Matt, do you want to pick it up?
Matthew Rothwell: Yes, I was outlined in the, the presentation adjusted EBITDA are expected to be in line with company consensus given, the takeover rules. You've had to remove that from the website, but prior to publishing that was circa 120 million.
Nikita Fedyuk: 120 your EBITDA guidance for 2023, is that right?
Matthew Rothwell: That was company consensus. Yes.
Nikita Fedyuk: Okay. But, and then there was a guidance that 2023 is expected to be cash flow neutral, but if I take £135 million of CapEx and then another £50 million of liabilities, £30 million of interest I need to get to at least £215 to be cash neutral.
Damian Sanders: Yes. So you'll get, well go on Matt, you can cover it.
Matthew Rothwell: Yes. We have an asset disposal that will generate over £40 million of proceeds. If you take the, the guidance in the presentation we've seen a very strong, we will, we expect that margin accretion to come through reduce capital expenditure of up to £135 million, cash adjusting items will be considerably lower circa 65% reduction on 2022. That together with the working capital rationalization all supports a clear path to free cash flow neutral in 2023, which then we're very confident will turn positive in FY 2024.
Nikita Fedyuk: Right. Do you have any guidance for the working capital inflow in 2023?
Matthew Rothwell: Other than it being positive at this point, no, we won't. Nothing different to what's in the presentation and that supports broadly free cash flow neutral.
Nikita Fedyuk: Right. And then I have a question on the CapEx side. So it's 135, the guidance is 5.5% to 6.5%. I think that impacts the cash flow a lot. Is there any room to reduce this CapEx is needed? Like what's your maintenance CapEx and what can be switch on or switch off in terms of the kind of pension product?
Damian Sanders: I mean, look, the CapEx is CapEx. You can obviously reduce it, as you see fit. We are just, we're very comfortable that £135 million is the right number for the year tech would be, the, a large majority of that. And we are, we're keen to keep investing in the tech and all the other aspects of the business remain, strong and positive. So we'd have no reason to reduce it further. But clearly with all CapEx, you can pull back from that, but that's not something, we'd need to do or plan to do.
Matthew Rothwell: It is worth just remembering that we are now in a Phase where for the medium term going forward, we get to enjoy the operating leverage benefits from the elevated investments made over the last two or three years. So if you look at that warehousing investment in particular over the last two or three years, it's been substantial CapEx, but with a less than two year payback, that now gives us for the medium term, a reduced CapEx requirement as a percentage of sales, and we get to enjoy the operating leverage that generates and then the cash flow benefits that come with it.
Nikita Fedyuk: Understood. It's more kind of from the downside risk. I understand that you're not planning to cap it, but in case that there is a kind of operation requirements to save up some cash to what extent this £135 million number can be cut? What's an absolutely minimum for the maintenance CapEx?
Damian Sanders: Look, I mean we don't have any contractual committed massive CapEx things like in construction or whatever, that you would have. So, in theory you can cut almost all of your CapEx. We just would never see that being the need. We had £640 million of cash in available facilities at the end of the year. We've got, a strong cash performance in Q1. We'd expect to be cash flow neutral for the year. The last thing we'd be considering doing is cutting, CapEx beyond the £135. It's eminently sensible.
Nikita Fedyuk: Understood. Thank you very much.
Operator: Thank you. [Operator Instructions] And our next question comes from Georgios Pilakoutas of Numis. Please go ahead.
Georgios Pilakoutas: Hi, good morning team. First one on Beauty. Could you just clarify which regions you kind of deemphasizing? The second one is nutrition. Given the decline in weight prices, do you think prices could actually decline? Is there enough kind of rationality in the industry to keep prices higher? Just how are you thinking about that kind of following versus leading? And then on Ingenuity, just if there's any update that kind of the incremental 1 billion of GMV that was previously mentioned hasn't been mentioned in today's presentation. So just an update on that. And then just how should we think about the incremental £150 million of external Ingenuity revenues over the next five years? Well, what kind of GMV is needed to deliver that?
Matthew Moulding: Yes, so I just, just you've got three questions there and yes, I'll pick the nutrition one first. So in terms of the strategy with pricing it's worth just reminding people that the biggest competition to Myprotein as the largest brand in the world in nutrition is the offline market. And obviously the offline market at the moment is still working off raw materials prices that are probably somewhere around about the pricing of nine months ago, if not a year ago. So pricing for offline nutrition products are going to remain high for a period of time, and that's why you're seeing inflation on the high street at the levels that you are doing. For ourselves, we've got obviously got a much shorter supply chain, so when that pricing was high, we had to absorb it faster than anybody else. So because everything's vertically integrated, you heard John mentioned earlier that 86% of nutrition sales we actually produce in-house and then we supply direct to consumers. What that means is the pricing for our nutrition. We're very sensitive in the near term to movements either upwards or downwards and whilst the high street would laggers by, probably somewhere nine 10, 12 months. So as a result we've been through that pain barrier last year. As whey pricing falls for the year ahead and it's obviously commodities have fallen quite dramatically. We'll be the first and are the first to see the benefit of that versus the high street. And then that's why your margins are recovering at the rate that they are recovering will then have a decision to make as to whether we want to press further in terms of taking even more global market share. And I would suspect that you will see Myprotein dropping prices, even though that we absorbed a lot of those price rises last year, we'll be able to enhance our margins quite significantly whilst dropping prices at later points in this year. And indeed we do have a plan in which to do that and, and we think that would be a quite an aggressive move to be able to take further market share. So that's Myprotein. Talking about Ingenuity, yes nothing's changed in that regard. We'd reiterate that the last result. So you just, avoiding, reiterating everything every time, but we'd expect to add north of a £1 billion with a GMV this year. Got a very strong pipeline as you'll have heard just before. I think just to clarify as well, I think it's worth, I think Numis had a note out this morning stating that the only reason Ingenuity makes money is because of some protein manufacturing businesses that we have in there that, that's never been the case. There are no protein or manufacturing businesses in the Ingenuity numbers there. So just to be clear on that Ingenuity point, that there is nothing from the nutrition manufacturing sits in there and then.
Georgios Pilakoutas: Yes, that's in beauty now.
Matthew Moulding: No, it's in nutrition.
John Gallemore: It's always in nutrition. The beauty manufacturing piece moves the bridge as a bridge provided. And then just as a point of the first question around beauty regional focus, we'll just take you back to the presentational materials. There is no breakdown on that given just the point in principle that we have focused on those sales that are higher margin.
Georgios Pilakoutas: Okay. Thanks very much.
Operator: Thank you. There are no further questions at this time. I would like to hand the call back over for any additional or closing remarks.
Matthew Moulding: Right. Well thank you very much everybody. I mean, what I would like to do is particularly thank the staff and all the people that have been supportive of THG over the past 12 months. I am truly proud of the performance we putting in and a CEO of the Group and Founder of the group back in safely say to the team, that’s been our best performance we have to put together and so appreciate to everybody and all the contribution. With that, look forward to speaking to people in due course.